Operator: Good morning and good evening. First of all, thank you all for joining this conference call and now we'll begin the conference of the fiscal year 2011 first quarter earnings results by LG Display. (Operator Instructions) Now, we shall commence the presentation on the fiscal year 2011, first quarter earnings results by LG Display.
Unidentified Company Representative: Welcome to LG Display first quarter year 2011 conference call. My name is (Hee Yeon Kim), Head of IR Department. Some of you may already know that I have succeeded Mr. Anthony Moon, as the Head of IR Department at LG Display, since the beginning of April. On behalf of LG Display, I would like to welcome everyone to our global quarterly earnings conference call. I am joined by our IR staff as well as representatives from the TV Marketing and IT Marketing. J.S. Park, is heading up the TV Marketing Department; and Seong Lee, is Vice President of IT Marketing Department. Before we go into the Q&A session, please allow me to highlight our first quarter results and touch upon our outlook for second quarter. Before we move on to the earnings result, please take a minute to read the disclaimer. I would like to remind everyone that results are based on the consolidated IFRS accounting standards and unaudited. This conference call will take one hour. We will discuss Q1 earnings result, performance highlights, followed by Q2 outlook. Moving on to the revenue and profit in the next Slide. Revenue in Q1 was KRW5.4 trillion, down 17% quarter-on-quarter and down 9% YOY, as the shipment of panels decreased by 15% quarter-on-quarter, and like-on-like basis ASP declined by 4% quarter-on-quarter. Due to the low seasonality and set and retailers continue the conservative inventory policy in Q1, we recorded an operating loss of KRW239 billion, operating margin of minus 4%, and EBITDA margin of 11%, income before tax was minus KRW202 billion, net income was minus KRW115 billion. Moving on to Slide 4. Looking at our financial position and ratio as of March 31, we have KRW3 trillion in cash and cash equivalent. Inventory increased KRW52.5 trillion, which is an increase of 13% quarter-on-quarter, due to our strategic decision to prepare for upcoming high-demand season, as well as to fully meet with our customer demand for differentiated products such as FPR 3D, tablet and IPS monitors. But days of inventory remained relatively unchanged from the previous quarter. Our net debt-to-equity ratio increased slightly from previous quarter to 15%, which is still manageable. Moving on to Slide 5, looking at our cash flow. Cash at beginning of the quarter was KRW3.1 trillion. Cash flow from operating activities resulted in cash inflow of KRW814 billion. Cash flow from investing activities resulted in non-outflow of KRW991 billion. And cash flow from financing activities resulted in an inflow of KRW52 billion. As a result, net change in cash was outflow of KRW122 billion. Moving to Slide6, I would like to go over our performance highlights. Looking at our shipment and ASP or panel shipments decreased by 15% sequentially to 6.7 million square meters. This is mainly due to Q1 low seasonality and conservative industry view by customers. While panel prices fell by 4% on a like-on-like basis in Q1 for us, our blended ASP remained flat compared to the quarter of all. This is mainly due to our shift to a higher-value added product, including LED TV, Tablet PCs, higher resolution displays for mobile devices, IPS Monitors and FPR 3D. Moving on to our product mix on Slide 7, you will see that during Q1, the TV segment represent 48%, followed by Monitors at 24%, Notebook at 18% and Applications at 10%. The decrease of TV portion is direct result of decline of both ASP and shipment, which has performed worse than IT. In contrast, the brighter portion of IT is a clear reflection of the relatively flat IT price compared to TV prices. Applications, which is mostly mobile displays, has gained 2% point share, as a demand for the high resolution panel for smart phones remain strong. Moving on to Slide 8, and looking in our capacity. Although, we we've added P83 during the quarter, our producible capacity remained unchanged with 10.7 million square meters, mainly due to the fact that there were lesser number of days in February. The average utilization rate in the quarter was at the high 80% and it is likely to be increased to around 90% in second quarter. Lastly, we turn our attention to outlook on the next Slide. In second quarter, we are expecting our total shipment to reach high teens percentage growth sequentially, due mostly to the seasonality of the industry. We expect the TV tuner price to remain stable, but do expect it to rebound some time in mid-quarter, while we anticipate IT panel price to maintain its upward trend. Our ASP in second quarter is expected to be better than the industry average, since the portion of high-value added products will be significantly increased. Within the whole full chain of panels, we see no excess inventory throughout the chain, except manufacturers to have to continue to reduce the inventory during Q1 and start to introduce new models, we do expect the demand to improve in the latter part of the quarter. With that, I will end my summary of Q1 and outlook for Q2. And be happy to take your questions. Operator, proceed to Q&A session, please.
Operator: (Operator Instructions) The first question will be provided by Mr. C. J. Muse from Barclays Capital.
C. J. Muse - Barclays Capital: I would love to probe I guess a little bit deeper in terms of inventory that you see throughout the supply chain. So I guess, if you can comment on what you've done with your utilization rates, given the reduce shipments there in Q1, to get a feel for where you are in inventory? And then you talked briefly about set inventories down in Q1, if you could elaborate there as to what you see? And then I guess, talking about a recovery in TV panel pricing some time in Q2, if you can kind of elaborate on the real drivers there? That would be very helpful.
Unidentified Company Representative: So when you look at the inventory side, actually set or the participants in this industry, they didn't have any condition on their upcoming demand. Their best policy to handle this kind of uncertain situations on the conservative inventory holding policy, so in this set makers and distributors inventory situation should be very okay. However, if we look at our financial statement, our inventory increased at around 13% quarter-on-quarter. This is only because of our strategic inventory optimization for the expectation of the demand growth for our differentiated product such as FPR 3D and IPS monitors. So the situation between our inventory and our customer situation is totally different. All-in-all in conclusion, inventory situation in the whole distribution and this full chain are all okay. So because of that, second quarter demand looks favorable for us.
C. J. Muse - Barclays Capital: If I could just follow-up with the second question. On the component side, as you look to drive down your own cost, can you talk about where you see the ability I guess with some of your suppliers to further pressure them to reduce pricing?
Unidentified Company Representative: In first quarter, we were very happy to reduce our component price in between mid-to-high single digit, so in overall area to reduce our component prices. But going forward as you already know, raw material prices should continue to increase. And also Japan earthquake impact would be taken in the middle of second quarter, but we are not sure it's easy to reduce component price temporarily.
C. J. Muse - Barclays Capital: One last quick question, can you comment on your adoption rate of thinner glass, I know that's prevalent on the notebook side, but curios on whether going to the 0.4 millimeters is something on the roadmap for TV's?
Unidentified Company Representative: I don't understand, you said, thinner glass?
C. J. Muse - Barclays Capital: Yes.
Unidentified Company Representative: We cannot understand, what do you mean? Now actually, we already adopted a thinner glass that should be the 0.5t glass. Okay, that if it should be enough for your question.
Operator: The following questions will be presented by Mr. Yair Reiner from Oppenheimer.
Yair Reiner - Oppenheimer: Just a little bit of clarification on the guidance. You say that you expect utilization to increase what sounds relatively mild from high 80% to about 90%, but you talk about shipments increasing by high teens percentage. Where is that gap coming from between the relatively low increase in utilization and relatively high increase in shipments?
Unidentified Company Representative: In second quarter, our workspace growth is likely to be 7%, because we already started P83 third Gen-8 fab in this March, so in second quarter we will get additional capacity growth at around 7%. And also as I mentioned before, our inventory increased by 13% sequentially. So altogether inventory plus additional capacity growth should give us the chance to increase our shipment by high teens.
Yair Reiner - Oppenheimer: And then the increase in inventory, the comments you made earlier suggest that it's going to be structural. And going forward do you expect to hold more inventory on your balance sheet, as your customers hold less? Did I understand that correctly?
Unidentified Company Representative: Yes, correct.
Yair Reiner - Oppenheimer: And then in terms of Japan, can you maybe talk about specific components that you see could potentially be in tight supply, because of disruptions there?
Unidentified Company Representative: For us, it is okay. But our real concern is highly the areas, when you discuss with our direct component suppliers they said, they are okay. And fortunately, our material suppliers in Japan, they are located far from the direct places from the earthquake. But we don't know the real situation, second and third vendor situations, that's our concern, but we cannot know the detailed situation of that kind of second and third providers.
Yair Reiner - Oppenheimer: And then, one last question from me. As you moved to more advance technology or higher percentage of advanced technology in the quarter, did that impact your yield at all? And if you can quantify that in anyway would be helpful? Thank you.
Unidentified Company Representative: In that kind of differentiated advanced product, it impacts our yieldish at negligible portion in (inaudible). So we don't have any kind of yieldish report from that kind of a new product.
Operator: The next question will be presented by Mr. Andrew Abrams from Avian Securities.
Andrew Abrams - Avian Securities: First, I wonder, if you could give a breakdown on LED backlighting versus CCFL.
Unidentified Company Representative: LED portion in TV that's around mid 30% and the remaining is CCFL.
Andrew Abrams - Avian Securities: I wonder if you could talk a little bit about your strategy in China, I assume all the approvals have been in, have you scheduled when you're going to start actually breaking ground in China?
Unidentified Company Representative: It's not decided yet. Actually, one or two years ago we tried to be number one fab builder in China market. However, it has delayed continuously, so now we decided to ramp up Korea fab first. So it will take time to make a decision for the China fab. Anyway, we have to break from at some time not soon. So the final decision making will be made within this year.
Andrew Abrams - Avian Securities: So you don't expect to actually break ground before the end of this year, is that correct or?
Unidentified Company Representative: We are not sure, but not soon.
Andrew Abrams - Avian Securities: And I wonder if you could talk just a little bit about your advanced technology products, as you're talking about in second quarter. Can you give a little detail as to what you're talking about specifically on advanced technology?
Unidentified Company Representative: Actually, advanced technology means differentiated technology such as the 3D areas that have full impact on (inaudible). That's a very comfortable 3D technology. So our demand from our China, Korea and U.S. customers is increasingly growing. And also second, advanced technology based on the IPS technology. So if you already know, one of the famous mobile phone customers, they also are a big fan of our customer in the smartphone areas. And because of that we are gaining market share in smartphone and tablet PC market. So they are kind of products also give us to improve our profitability in second quarter.
Andrew Abrams - Avian Securities: And last, if you could just talk a little bit about fab conversions that you might be doing to move further into the tablet market. Have you converted any of your fabs specifically or line specifically for tablets and move that away from something else that you've been producing in the past?
Unidentified Company Representative: Actually last year only in small-sized fab such as 3-Generation and 5-Generation, we did provide tablet PC, but this year we are moving to Gen-6 fab. And we already announced that we will start to produce tablet PC from our new Gen-8 fab at the end of this year.
Andrew Abrams - Avian Securities: You mean the Gen-8 fab, is the OLED fab or is that the?
Unidentified Company Representative: LCD fab.
Andrew Abrams - Avian Securities: And lastly, just on OLED. Can you give us an update on what the status is of your OLED production facility?
Unidentified Company Representative: For now, we already started small-sized OLED production at the end of first quarter this year and capacity is around 4K in terms of (inaudible) incurred. And it will be increased to 12K in the middle of this year. That's overall our capacity growth often for small-sized OLED fab. And then we also have planned to 8-Generation OLED fab ramp-up maybe in the middle of the year 2013. So this is how we're just planning for our ramp-up scheduled for TV OLED. So it mean this year we will test our suitable technology for 8-Generation OLED, if we decided to choose one suitable solution maybe at the end of this year, we will announce CapEx investment made next year.
Andrew Abrams - Avian Securities: And the 4K to 12K ramp that you're doing now is in which generation facility?
Unidentified Company Representative: 4.5-Generation.
Operator: The following questions will be presented by Mr. Henry Seggerman from International Investment Advisers.
Henry Seggerman - International Investment Advisers: I wanted to ask about AMOLED. I had heard from an analyst that very, very recently you had sold 7,000 or 8,000 AMOLED panels to Nokia this may or may not be true. Did you sell AMOLED panels to Nokia, and why Nokia instead of LG Electronics? Question number one. Question number two on the same subject. I noticed here that you've got IPS in the upper right corner of your presentation. Is there a view internally that the IPS solution, which is in the retina display as I understand it, is somehow equal to or even superior to AMOLED and especially in text reading for text reading purposes?
Unidentified Company Representative: For your first question, as I mentioned before, we already start the production of our small-sized OLED fab in first quarter this year. It means, we already such provide our small-sized OLED panel to major global customers. The major global customer we cannot disclose their direct name, but we think you might be right. And in the middle of this year, we also have a plan to provide our small-sized OLED panel to our local customer LG Electronics. And for your second question, actually if you'll look at iPhone or iPad, although this iPhone used IPS technology, we are main suppliers. Actually, if you'll look at iPhone, although that's not OLED display, you can easily see the text messages, because of sophisticated high resolution characteristic. This kind of sophisticated resolution technology is driven by IPS technology.
Henry Seggerman - International Investment Advisers: Just then you're saying that the company has a strong belief in the IPS technology relative to OLED technology, not necessarily better. And you do confirm that you have sold AMOLED panels globally. But I guess the question is why did you not sell AMOLED panels for the optimist?
Unidentified Company Representative: Actually it is related to our customers' product line-up. So we already have a plan to provide our OLED and IPS panel to our customers. That's customers' product line-up and schedule issue.
Operator: The following questions will be provided by Mr. (Steven).
Unidentified Analyst: I'd just like to try and understand what's going on in terms of components and raw material costs. I'm not sure if you said, not about what to be sold quarter-on-quarter in the first quarter. And also, I'd be interested in what you expect for the second quarter. And in particular, where would those savings come from? Obviously, the most obvious it seems like there's maybe an (technical difficulty). Would you be able to talk about that?
Unidentified Company Representative: If I may understand correctly, first quarter material cost reduction was around at high-single digit, as I mentioned it before. So the most of material side we reduced our price in first quarter. But in second quarter, actually it's very difficult to mention how much we will reduce over the material side. Because of the uncertainties in the supply demand situation over the poor component coming from Japan market, because of the Japan earthquake, as I already explain before, there should be enough.
Unidentified Analyst: Also, would you be able to talk about what the demand situation is like for 3D right now, because obviously looking at your result, 3D as a percentage of revenue was very low in the quarter. What would you say in terms of variable demand and also in relation to (inaudible). How should we think about that? Just what's the overall demand environment like in 3D right now, because I just noticed in the first quarter 3D revenue as a percentage of total was very low? Obviously that's possibly seasonal.
J.S. Park: Let me explain the Q1 situation, the TV demand. We expect around 10% growth rate this year in terms of unit and also we expect around 15% to 17% of growth rate in terms of area based. And we suggest that around 10% in Q1 in terms of unit. But on a sell-through data, we got around 15%. So demand is much higher than our expectation, but the panel shipment is a little lower than our expectation. So the area-based shipment is lower than our expectation. And that's why our portion is decreasing by 8% compared to last Q4.
Unidentified Analyst: Just finally on the core value line, well, in Americas (inaudible) segment you expect FPR to do 50% of your 2D panels, is that correct?
Unidentified Company Representative: 50% of FPR in second half this year is our target. And I think it's possible in terms of our price strategy and also our customers. The demand is getting bigger and bigger continuously. We got a bigger number. So it's possible. So just forecast demand of 3D this year, research companies say they think around 20 million for our demand forecast. It's a new creation of new technologies. We are creating new market. So we expect around 25 million to 30 million 3D panels demand for this year. And our target is around 50% to 70% share in this new market.
Operator: The next questions will be presented by Jeffrey Toder from RBS.
Jeffrey Toder - RBS: First on the ASP, you said on a like-like basis prices were down by 4%. On a square meter basis for the quarter, they were about flat. Does that difference mostly come from the premium on the premium products? In other words, the higher ASP or the higher proportion is responsible for that 4 percentage point difference?
Unidentified Company Representative: Yes, you are correct.
Jeffrey Toder - RBS: I think that you are going from, say, 30% to 40%? How much do you expect that to add to your ASP in the second quarter?
Unidentified Company Representative: It's difficult. Anyway, it should be higher than first quarter. So as you mentioned, the high-end premium portion should be increased by 10 percentage point in second quarter. It means we will have more chance to increase our ASP on top of the industry ASP increase. So anyway, it should be higher to first quarter.
Jeffrey Toder - RBS: You mean the difference between like-unlike and blended should be greater? In other words, you should get more than 4 percentage points, or just ASP should go up quarter-on-quarter?
Unidentified Company Representative: Potentially greater. That should be a reasonable thinking.
Jeffrey Toder - RBS: What was the percentage of premium products in the fourth quarter?
Unidentified Company Representative: Sorry I didn't have the kind of numbers, but our team will get back to you on that.
Jeffrey Toder - RBS: So to be clear, if like-unlike were flat, that means you would say that your ASP on a blended basis would be up by more than 4%. That's what you're guiding. Okay. Second, I was a little confused by one of the answers to the questions earlier. I know that you've mentioned you've strategically built inventories because you expect demand to increase. Do you expect your inventory level to drop in second quarter or remain at a similar level?
Unidentified Company Representative: As I mentioned before, our shipment growth at high teens should be the function of capacity growth of 10% plus inventory decrease. It means our inventory should decrease at the end of this second quarter.
Jeffrey Toder - RBS: You mentioned the inventories were flat. Obviously, inventory days have gone up a lot. So how would we quantify flat quarter-on-quarter?
Unidentified Company Representative: Sorry, I can't understand what you mean.
Jeffrey Toder - RBS: You mentioned that in dollar versus days your inventories went up. But I think that you mentioned on a unit basis that you felt that inventories were flat quarter-on-quarter that you didn't have an increase in inventories. And I was wondering if you could quantify that at all.
Unidentified Company Representative: Actually in the first quarter, our panel volume inventory increased by 30%. It means number of days should be flat or slightly lower than previous quarters.
Jeffrey Toder - RBS: No, actually it means that your inventory days went up, because your revenue went down and your inventories went up. So you have higher inventory days in the first quarter than you had in the fourth quarter.
Unidentified Company Representative: Actually, inventory days should be quite different between you and our company. Actually our company inventory holding period should be calculated based on coming months, coming quarters. So we expect our second quarter demand must be bigger than first quarter. So our inventory days at the end of first quarter should be lower than the last quarter.
Jeffrey Toder - RBS: If I look at the forward inventory days, then you're implying that that number would be something like 35 days?
Unidentified Company Representative: Actually they should be close to 30 days.
Jeffrey Toder - RBS: 30 days forward, so the amount of inventories now versus the revenues that you expect to receive would be about 30 days.
Unidentified Company Representative: Actually inventory holding period should be calculated by forward-looking method, not this month revenue basis.
Jeffrey Toder - RBS: I'm sorry to dwell on this, but I'm just trying to get an idea of what the number is. So should we be looking at it on a unit basis? So how many weeks of finished goods inventory do you have right now?
Unidentified Company Representative: Actually our normal weeks for IT products, that's two weeks; and in case of TV, that's three weeks. But our situation is slightly below than our normal situation.
Jeffrey Toder - RBS: And for TV?
Unidentified Company Representative: Actually for more detailed information, can you call me later?
Jeffrey Toder - RBS: You said that some of the demand is for an inventory rebuild amongst your customers for the second quarter. So could you just give us an idea of what inventories are today and where you expect them to be, say, by the end of the quarter?
Unidentified Company Representative: End of this quarter, our inventory range should be lower than this situation, because our capacity growth should be below our shipment increase. So it means number of holding inventory days should be lower than now.
Operator: The following questions will be presented by Mr. Benjamin Lu from Seligman Investments.
Benjamin Lu - Seligman Investments: You guys had talked about breakeven in OP for the first half. Can you break down in terms of how you can get there, whether it's from shipment increase, ASP, mixed change?
Unidentified Company Representative: Actually, you already have got an answer. Shipment increase, ASP increase and mixed change.
Benjamin Lu - Seligman Investments: Is there any way you can rank them in terms of what will be biggest contributor for the profitability in Q2?
Unidentified Company Representative: Actually that should be the combination between shipment, ASP and mix, but difference 80-to1 from our competitors. Competitors should be structural mixed change. Actually we have dominant market position in tablet side. Tablet shipment should increase by at least two times sequentially, and also FPR product, that's a very high-end premium product. Mixed changes give us a chance to increase our profitability meaningfully in second quarter.
Benjamin Lu - Seligman Investments: And if I can delve into the higher-end product a little bit more. If you aren't comfortable with the specifics, that's fine. You can talk around it. But I wanted to better understand the margin difference of FPR and the tablets versus all your other panels, because that's what you consider high-end mix, right?
Unidentified Company Representative: On this part, JS and Seong will give you good answer.
J.S. Park: FPR margins are always higher than traditional TV. But I can not talk exactly in numbers. FPR in Q2 is around 4 times higher than Q1. So we do contribute a lot to increase our margin, our profitability.
Benjamin Lu - Seligman Investments: Do you think that as we go through the rest of the year, the FPR margin premium versus your other TV products will continue to remain, or do you think that you need to strategically reduce pricing, maybe earn smaller margins for FPR going forward?
J.S. Park: We don't have any plan to cut price premium, because there is a survey in China, and it's only for China, Chinese end-user consumer want to pay 10% premium for FPR compared to SG type. So based on our consumers' willingness to pay the premium for our FPR, we don't have any plan to cut premium. We're going to increase maybe.
Benjamin Lu - Seligman Investments: And then on the tablet side, the margin?
Seong Lee: I think the same goes for the tablet. There is still more in notebook in general. In terms of profitability, one thing that I can say clearly is the tablet is much better than conventional notebook and monitor. As the tablet portion is increasing in second quarter, we believe it can increase our profitability through the company.
Benjamin Lu - Seligman Investments: And are your tablet panels still shipping only to one customer?
J.S. Park: No, actually from this month, we'll start shipping to many of other customers besides the one company in California.
Operator: The following questions will be presented by Mr. (Dan Malkoun with Viking Global).
Unidentified Analyst: Your shipments came in worse than expected. I think this quarter they were down 15% sequentially and you'd guided down high-single digits. And it looks like the TV shipments in particular were down a lot more than I guess expected. TV sales were down almost 30% sequentially and down like 19% year-over-year. What was the source of the weakness relative to what your original expectation was in the first quarter?
J.S. Park: During oversupply time, our customers minimized inventory, because the price was continuously down. And also during Q1, our customers still had a problem to clear of the inventory. So we cleared I think end of Q1. The sell-through is higher than our expectations, but our panel shipment is lower than our expectation.
Unidentified Analyst: And then for the guidance for the first quarter, where is the high teens, what's the driver of that? Why is it so strong?
J.S. Park: Because inventory whole chain is very healthy and U.S. retailers, their inventory level is a little lower than their normal level and also because of seasonality.
Unidentified Analyst: They are expecting some restocking?
J.S. Park: Our major customers, they start new product ship to market from Q2. So it will help a lot.
Unidentified Analyst: And then the last question for me is just from a production perspective, shipments were down 15% in the fourth quarter. Your production was not down that much, correct? What was production on a quarter-over-quarter basis from an area perspective?
Unidentified Company Representative: In first quarter, our utilization ratio was high 80s, which is similar as Q4 last year. So it means our production was also similar as Q4. So it will take out our (inaudible) number from our production numbers, it should be our increased inventory.
Operator: (Operator Instructions) The following questions will be presented by Andrew Abrams from Avian Securities.
Andrew Abrams - Avian Securities: The percentage of premium products that you had in fourth quarter and first quarter and what you are expecting in second quarter, could you just repeat those numbers?
Unidentified Company Representative: Actually for Q4 of last year, we don't have a number. Right now, we will get back to you on that. In the first quarter, that's 30%. In second quarter, we are expecting 40%.
Andrew Abrams - Avian Securities: And just also clarification on LED backlighting, you said you were at 30% in first quarter. Where would you expect to be in the second quarter?
Unidentified Company Representative: Actually in first quarter, that's 30%. And in second quarter, that's 40%.
Operator: (Operator Instructions) The following questions will be presented by Mr. (Su Jin Park) from LG Display.
Unidentified Analyst: I just wanted to ask about the CapEx that there is possibility that it might be less than the 5 trillion that was originally planned, if you could comment on that, and maybe where the reduction would come from.
Unidentified Company Representative: Actually, we never mentioned about the reduction of our CapEx. We're just muted on our CapEx plan. So it means we don't have any material change in our CapEx this year. Actually 10% to 15% should be OLED CapEx.
Unidentified Analyst: And then the rest is maintenance?
Unidentified Company Representative: Actually 50% is maintenance and 25% for Gen-8 and another 25% for Gen-9. That's overall mixture of our CapEx.
Operator: The following questions would be presented by Mr. Sebastian Ho from Yuanta Investment Securities.
Sebastian Ho - Yuanta Investment Securities: Can you breakdown details about the shipment growth in second quarter, because you say that there would be the high-teens percentage growth? So how much of that goes to TV and MB and monitor and also the tablet?
Unidentified Company Representative: Actually in terms of high-teens, in case of the TV they should be same as high-teens, and in case of IT, that's mid-teen growth.
Sebastian Ho - Yuanta Investment Securities: So that's included the MB and also the monitor, right?
Unidentified Company Representative: Yes, monitor and notebook.
Sebastian Ho - Yuanta Investment Securities: And how about the tablet?
J.S. Park: I think probably close to 20%.
Sebastian Ho - Yuanta Investment Securities: But the iPad grows around like 100% in second quarter from first quarter. So that means perhaps you can grow around that run rate too, right? So is 20% too conservative?
J.S. Park: Yes, that's correct. I think the tablet in terms of area base, I think it will increase to almost double.
Operator: The following questions will be presented by Mr. Jeff Su from Macquarie.
Jeff Su - Macquarie: I was just wondering if you could state for the first quarter how much if any of inventory provisioning did you do in terms of a rough amount.
Unidentified Company Representative: KRW24 billion.
Jeff Su - Macquarie: And then my second question is more I guess mid to longer term strategic. Just looking at your business and looking at the TV brands, I mean we've seen a couple of examples now of TV brands and panel makers cooperating more and more closely. I think you guys have talked about in the past whether it's been your own very successful joint venture with Vizio or with the Philips today or some of the Japanese brands. I just wonder longer term what is your view or strategy on sort of the LCM or the modules-simply business as it pertains to TV brands and open-cell. Is this something that you're looking to do more aggressively or you're kind of happy with where you are now with strategic customers? What's sort of your thinking on the LCM business longer term?
J.S. Park: We don't have any plan to do cell business. Our business strategy is to sell our LCM to our customer. We have two joint ventures, AmTran and TPV. We only provide sales to our joint venture to supply our customers, and we're developing very competitive and very high-end product. We call it RTV. So for all those products, we provide sales.
Unidentified Analyst: And should we expect more joint ventures of this sort going forward?
J.S. Park: I'm not the right person to talk about other joint ventures.
Operator: The following questions will be presented by Jeffrey Toder from RBS.
Jeffrey Toder - RBS: You talked about your target for breakeven for first half, is that net or operating?
Unidentified Company Representative: It should be on the operating side.
Jeffrey Toder - RBS: Operating breakeven in first half?
Unidentified Company Representative: Yes.
Operator:
Unidentified Company Representative: Operator, if there are no further questions, we can end the conference call.
Operator: Yes, there are no people who are waiting for the questions.
Unidentified Company Representative: On behalf of LG Display, we would like to thank you for your participation in our Q1 earnings conference call. If there is any of your questions that we failed to answer or the answer was not sufficient enough for you, please don't hesitate to contact either myself or my colleagues. Thank you.